Operator: Hello. My name is Sergio, and I will be your conference call facilitator this afternoon. At this time, I would like to welcome everyone to Envista Holdings Corporation Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions] I will now turn the call over to Mr. Jim Gustafson, Vice President of Investor Relations at Envista Holdings. Mr. Gustafson, you may begin your conference call.
Jim Gustafson: Good afternoon. Thanks for joining Envista's Third Quarter 2025 Earnings Call. We appreciate your interest in our company. With me today are Paul Keel, our President and Chief Executive Officer; and Eric Hammes, our Chief Financial Officer. Before we begin, I want to point out that our earnings release, the slide presentation supplementing today's call and reconciliations and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call are all available on the Investors section of our website, www.envistaco.com. The audio portion of this call will be archived in the Investors section of our website later today under the heading Events and Presentations. During the presentation, we will describe some of the more significant factors that impacted year-over-year performance. The supplemental materials describe additional factors that impacted our results. Unless otherwise noted, references to these remarks to company-specific financial metrics relate to the third quarter of 2025 and references to period-to-period increases and decreases in financial metrics are year-over-year. During the call, we may describe certain products and solutions that have applications submitted and pending certain regulatory approvals or are available only in certain markets. We will also make forward-looking statements within the meaning of the federal securities laws, including statements regarding events and developments that we believe, anticipate or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings, and actual results may differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made, and we do not assume any obligation to update any forward-looking statements, except as required by law. With that, I'll turn the call over to Paul.
Paul Keel: Thank you, Jim. Good afternoon, and welcome, everyone. On today's call, I'll kick us off with some opening thoughts on our Q3 and year-to-date performance as well as a brief strategic and operational update. Eric will then take us through the financials in more detail. I'll wrap things up with some closing thoughts. And then as always, we'll open it up for your questions. Slide 4 summarizes 3 things. Q3 results; year-to-date performance; and another update to our full year 2025 guidance. Let's begin on the left with Q3 results. We posted another solid quarter, delivering strong revenue and earnings growth and good margin expansion. Core growth came in at 9%, aided by the expected Spark deferral benefit. Excluding this, core growth in the quarter was around 5% with all major businesses once again in positive territory. Adjusted EBITDA margin was 14.5%, up more than 500 basis points from Q3 of '24, supported by good growth and productivity. Adjusted EPS was $0.32, more than twice the Q3 '24 result. Moving to year-to-date performance. Core growth came in around 3% after normalizing for last year's changes in Spark deferral and dealer inventory levels. Year-to-date adjusted EBITDA margin is around 13%, showing progress in Q3 over H1. Rounding out the column, through 3 quarters, we've delivered $0.82 of adjusted EPS, a 67% increase over the same period last year. Moving to the column on the right. Given our good year-to-date performance and strong momentum, we are again raising our full year 2025 guidance. We now expect core revenue growth of approximately 4%, up from 3% to 4% previously, and adjusted EPS of $1.10 to $1.15 versus $1.05 to $1.15 previously. EBITDA margin guidance for the year is unchanged at approximately 14%. Let's now turn to progress we made in the quarter in support of our 3 core priorities of growth, operations and people. Beginning with growth on the left side of the chart, ours was well balanced between volume and price and broad-based across the portfolio as ortho, consumables, diagnostics and implants all delivered growth. We again held share in implants while gaining share in all other major businesses. Our strong performance funded another quarter of double-digit increases in strategic R&D and sales and marketing investment. We're seeing good returns from these investments, evidenced by several major new product launches in the quarter, including Spark Jr., a comprehensive aligner solution for younger patients; Spark StageRx, a digital workflow platform for enhanced clinician support; Orascoptic Ergo Zoom, a novel loupe system that combines superior ergonomics with adjustable magnification; and DEXIS Imprevo IOS, a significant leap forward in terms of intraoral scanning speed, precision and versatility. We're also seeing good market traction from previously launched new products such as Spark on Demand, Spark Retainers and BiteSync Class II Corrector; as well as Nobel Biocare's new multiunit abutment, which integrates our novel surface treatment with a slimmer emergence profile. The solution is designed to promote soft tissue healing and supports a stronger biologic seal for long-term stability. In terms of customer education, this quarter, we trained more than 15,000 clinicians, including hosting several high-impact events, balanced across all geographies and businesses. Examples include well-attended Kerr and Ormco forums in Europe and a major Nobel and DEXIS symposium in Japan. On the operations front, we continue to enjoy strong contributions from EBS, our continuous improvement methodology that is central to how we deliver results, develop our people and advance our culture. In addition, we delivered further year-on-year G&A reductions while maintaining high customer service levels. Last quarter, we announced a new R&D and manufacturing facility in China. And in Q3, we broke ground on a new multipurpose diagnostic center just down the road from our existing facility in Finland, which has long been a hub for innovation in dental imaging. Finally, with respect to people, we continue to advance our high-performing continuous improvement culture, seeing growing momentum in engagement and talent development. This week, we published our 2024 sustainability report. Available on our website, the report details the many initiatives that are underway across key focus areas like expanding access to dental care for underserved populations, investing in our colleagues and communities, being good stewards of the environment and building on our century-plus rock-solid foundation of doing business the right way. Before I turn the call over to Eric, I'll mention some important milestones for our Spark aligner business in Q3. On the growth front, we shipped our 1 millionth case since launching the business in 2019. We're pleased to have gone from 0 to nearly $300 million in revenue in under 6 years, funded entirely by operating profits generated elsewhere in our portfolio. We are the only orthodontic provider with leading positions in both fixed and aligner therapy, operating in all major geographies and with a global supply chain that allows us to respond seamlessly to macro and market conditions. This global scale brings me to the second milestone we crossed in the quarter. Last year, we committed to positive operating profit for Spark sometime in the second half of this year, and we reached that level in Q3. Behind this strong momentum, we expect continued margin and market share gains moving forward. These milestones were several years in the making, and we applaud the many contributions from our colleagues, partners and customers that both got us here and continue to propel us forward. With that, I'll turn the call over to Eric to walk us through the numbers.
Eric Hammes: Thanks, Paul. In the third quarter, we delivered sales of $670 million. Core sales in the quarter increased 9.4%, and FX added another 200 basis points. Our Q3 growth benefited from last year's change in Spark deferral, which I'll say more about in just a moment. Excluding this effect as well as dealer inventory realignment that we discussed on prior calls, year-to-date growth was around 3%. Our underlying core growth in the quarter was another positive step for Envista. This reflects the changes we've made in 2024 and 2025 to improve our growth potential. Q3 adjusted gross margin was 56.1%, an increase of 330 basis points versus the prior year. Volume, price, improvements in our global supply chain and the expanding Spark margins that Paul just mentioned, all contributed to the gains. Our adjusted EBITDA margin for the quarter was 14.5%, which was 540 basis points better than the prior year. Margins were helped by the previously mentioned gains in gross margins as well as continued strong G&A productivity. Adjusted EPS in the quarter was $0.32, up $0.20 compared to the same quarter of last year. Our non-GAAP tax rate for the quarter was 31.2%, slightly better than our expectations. We continue to see a beneficial trend in our non-GAAP tax rate as a result of our strong business performance in the United States, which increases our level of interest deductibility related to third-party and intercompany interest expense. Also, you'll notice in our Q3 filing a onetime GAAP charge related to a discrete tax adjustment. This relates to the elimination of a significant intercompany loan, which had been a headwind to our global tax rate. While settling the loan resulted in a onetime charge in our Q3 GAAP results, this does not impact our full year 2025 non-GAAP rate. And most importantly, there is a near 0 net cash impact from the restructuring. While our estimated non-GAAP tax rate for 2025 is unchanged, over time, we do anticipate future tax benefit as a result of this action, both on a reported and cash basis, and we'll provide more details on this in the coming quarters. Rounding out Slide 7. In Q3, we generated $68 million of free cash flow, up slightly from last year, principally driven by our improved profitability. Now let's turn to 2 bridges to help break down our year-over-year results, beginning with sales. Core revenues grew 9.4% in the quarter with positive growth in all major businesses. Combined, volume and price contributed about 500 basis points. Q3 growth was also helped by Spark tailwinds, both primary case growth and deferral benefits as well as favorable prior year comparables. Q3 was another solid quarter of growth for Envista. Foreign exchange contributed roughly $11 million of sales or about 200 basis points, reflecting the weaker U.S. dollar. And finally, we had a minor benefit from the 2 acquisitions mentioned on the Q2 call, both of which support implants growth in prioritized markets. Turning to the adjusted EBITDA margin bridge on Slide 9. The change in Spark deferrals delivered about 390 basis points of growth this quarter. It's worth noting that while the change has resulted in a year-over-year benefit, absolute revenues and profit delivered in Q3 are a good baseline for modeling the business going forward. Volume, mix and price combined to deliver a 240 basis point improvement. As mentioned, we saw broad-based performance across the portfolio on these dimensions. We had a net gain of 80 basis points from improved productivity with G&A down more than 12% year-to-date. As Paul noted earlier, we continue to reinvest a portion of our productivity gains back into sales, marketing and R&D to support future growth, which amounted to 130 basis points in the quarter. Increased tariff costs compressed margins by about 140 basis points. On the Q2 call, we committed to offsetting full year tariff costs, and we're still tracking to do so. It goes without saying that the tariff landscape remains fluid, and we'll continue to update you as matters evolve. Turning to segment performance. Revenue in Specialty Products and Technology grew 13% year-on-year with core sales up 10.6%. In our orthodontics business, Spark was up high teens before the additional benefit from the net deferral change. The strong pipeline of product launches that Paul touched on earlier are all adding to our momentum. Brackets & Wires was flat year-on-year as underlying growth in several markets was offset by continued VBP preparations in China. The Q2 buy ahead that we discussed last quarter also played a role. On the implant side, we delivered a fourth consecutive quarter of positive growth globally, led by above-market performance in North America. Our prosthetics and digital solutions portfolio had another strong quarter as did our regenerative biomaterials business. In Q3, Specialty Products and Technologies posted an adjusted operating margin of 15.5%, up 850 basis points, driven by good growth as well as the year-over-year impact of Spark turning profitable. Volume, price and net productivity were all positive in this segment. And consistent with prior comments, a portion of the gains were reinvested in commercial and new product development activities. Moving to our Equipment and Consumables segment. Core sales in the quarter increased 7.3% versus prior year, including double-digit growth in consumables, where we delivered broad-based growth across the portfolio, including solid price performance. Diagnostics core sales growth was up modestly for a second consecutive quarter, with North America and Europe, both delivering a positive result. Similar to SP&T, new products are an important part of our Diagnostics playbook. Innovative launches like a new CBCT platform last year and a new IOS last quarter are striking a chord with customers. Adjusted operating profit margin was roughly flat year-over-year at around 20%, while profit dollars were up about 9%. Let's now turn to cash flow. Q3 free cash flow was $68 million, an increase of about $5 million when compared to the third quarter of last year as improved sales and margins were partially offset by increases in inventory and increased growth CapEx. Year-to-date free cash conversion of 100% is in line with the outlook we provided at our March Capital Markets Day. Free cash flow dollars are down year-to-date as relative performance in 2023 warranted a lower incentive bonus payment in 2024. Our balance sheet remains strong and stable with a net debt to adjusted EBITDA of approximately 1x, providing welcome stability in the current environment. In Q3, we deployed approximately $40 million in cash to repurchase 2.1 million shares of stock. On a year-to-date basis, we repurchased over $140 million or a total of 8 million shares as we continue to execute our $250 million 2-year repurchase authorization. I'll now say a few more words about the updated guidance that Paul introduced earlier. Slide 13 summarizes the changes. A core sales growth of approximately 4% versus 3% to 4% previously, building on the 3% year-to-date underlying performance that Paul mentioned earlier. We estimate EPS of $1.10 to $1.15 versus $1.05 to $1.15 previously. Finally, our full year adjusted EBITDA margin estimate is unchanged at approximately 14% as we expect Q4 to build on the year-to-date performance levels while reflecting continued investment in the business. Back to you, Paul, to wrap things up.
Paul Keel: Thanks, Eric. A few closing thoughts on the quarter. First, we haven't said much about the dental market on this call because things really haven't changed much from Q2. On balance, underlying patient demand remains stable, albeit still below typical longer-term levels for the market. Macro uncertainty remains high, which continues to impact some of the more discretionary procedure segments. Second, our momentum continues to build with core growth of roughly 5% in the quarter and 3% year-to-date after adjusting for Spark deferral and dealer inventory realignment. This growth converted well to cash, margins and EPS. We are again updating full year guidance with core growth and EPS, both moving to the top end of the ranges that we shared on our Q2 call. Importantly, I'll close by noting that this progress is made possible by the wonderful talent and commitment of our global Envista team. Please know how much we appreciate all you do in the service of our stakeholders. In the same way, we're grateful for the support we receive from our customers, partners and shareholders. And that completes our prepared remarks. We'll now open it up for Q&A.
Operator: [Operator Instructions] Your first question comes from Allen Lutz from Bank of America.
Allen Lutz: Congrats on a really nice quarter. Paul, one for you. It's nice to see Spark turn profitable in the third quarter. And so now that, that business is profitable, how should we think about the trajectory of margins from here? And then separately, can you talk a little bit about the market share of that business? Where are we today? And where do you think that business can go?
Paul Keel: Allen, thanks for the question. Yes, getting Spark profitable is an important milestone for us. It was 6 years in the making and grounded in a lot of really good work on both the cost and the growth front. So maybe I'll take the 2 parts of your question in turn. With respect to the margin part of your question, we said previously that we expect Spark margins to eventually reach fleet average. And based on the steady progression that we've seen now over the past many quarters, we continue to believe that's an appropriate objective. Maybe a bit more color on that. In addition to the consistent unit cost progress that we've spoken about previously, our margins are also helped by improvements that we're making in setup and design times as well as changes to the portfolio mix and the commercial efficiencies that come from providing, both a fixed and aligner solution to customers. So of course, we get scale economies from this, one sales force selling both solutions. But equally important, it's also, we think, a much more credible position from which to approach customers. The doctors, of course, know how to best treat patients. We simply provide a full portfolio to help them do that. Now in the same way, we also get broader efficiencies with DSOs. So in that case, we not only provide a full ortho portfolio, but we also provide complete implant consumables and diagnostics offerings as well. So that also helps on the economics. Now with respect to market share, Spark has outgrown the global aligner category every year and essentially every quarter since it launched. And even now that it's at a much larger scale, we mentioned it's approaching $300 million in sales, Spark still grew high teens in Q3 before deferral. And we think that's quite a bit better than the market, which we think was probably low single digits in Q3. And all that is because we feel we have a compelling competitive business here. Like the full portfolio I mentioned, we also have deep, in some cases, 50-plus year positions in key geographies around the world. And very important today, we have a global supply chain with flexible manufacturing on 3 continents. So as you can pick up from my voice, we're pretty excited about the future for this business.
Allen Lutz: Thanks Paul. And then one for Eric. If we go to Slide 9 on the volume mix price added 2.4% to EBITDA, based on our math, it looks like price is a good portion of that. Is there any way you can unpack the contributions within volume, mix and price? And then how should we think about what's embedded within that into 4Q?
Eric Hammes: Yes. Yes, I'll take that, Allen. So I mean, just in terms of unpacking, I think you're on -- let me just repeat, Slide 9, the 240 bps between volume, mix and price, we grew price in the quarter by a little over 200 basis points. And the majority, of course, of the rest of our revenue growth was volume-based. And so you can sort of back into the impact of that from a margin standpoint. That means slightly better margin accretion in that box from price and slightly less from volume. And then we had a little bit of an offset in mix as we have good gross margin portfolios, but some of them are slightly dilutive to the Envista average. And then the way you should think about margins going forward, I'll just sort of take it from the guidance frame. And so we have stuck with our adjusted EBITDA margin guide for the year, that's 14%. That's within the revised guidance that Paul and I both mentioned in the preread remarks. And if you do the back math on that, that means that Q4 will be, I would say, on the level of that same 14%. Admittedly, we're probably rounding up to 14% margin for the full year. And the best way to really work the P&L, I would say, is to anchor on the EPS range that we gave, which is the $1.10 to $1.15.
Operator: Your next question comes from Elizabeth Anderson from Evercore.
Elizabeth Anderson: Congrats on the quarter. Paul, I appreciate your comments on the stability of the dental market overall. I was wondering if you could just maybe comment a little bit more about China. We've heard from some competitors that there's been an impact from VBP of people pausing buying. The consumer environment obviously remains choppy there. So it'd just be helpful if maybe you could unpack that a little bit more.
Paul Keel: Sure. Thanks, Elizabeth. So as you all know, there are 2 VBPs that have been discussed in China. One is underway, that's for orthodontics. That's well progressed. We still expect to hear something here in calendar 2025. But as we've seen from other VBPs, both in dental and health care more broadly, those things do slip on occasion. So if that rolled into Q1 or the first half of '26, I don't think any of us should be too surprised. But that's proceeding generally according to expectations. And then the second one that people are now starting to talk more about is VBP 2.0 for implants. We're in pretty close contact our government affairs team in China with the provincial leaders. And we're also, of course, in regular conversations with the clinicians and department chairs at the public hospitals. So we expect that is coming, although we don't have any official communication from either the provincial or the central government on the details.
Elizabeth Anderson: And maybe one for you, Eric, as well. Obviously, you had sort of a very nice margin expansion this quarter despite the fact that tariffs were a bigger headwind. I mean obviously, this is a fluctuating situation, but do you think that the sort of level of tariffs you experienced in the third quarter is sort of the way to think about maybe the fourth quarter as well and sort of going forward? Or would you call out any notable differences there?
Eric Hammes: Yes. Let me just give you a little bit of the -- by the numbers, Elizabeth. So last quarter, within the margin bridge, if you did sort of the back math on our margin rate, we had about $4 million in tariff costs within the quarter. This quarter, it's a number, call it, $8 million to $9 million. And I would say that's a good basis, both as we think about Q4 and then a little bit cloudy, but our view of full year 2026 on a run rate basis. So let's call it, $10 million in tariffs per quarter as we look forward. Obviously, that can be impacted by either tariff rate reductions or maybe a little bit of better execution on our end on the supply chain mitigation. But right now, that's the best view that we have. And then I'll just reinforce something that we said in our pre-read remarks, which is our objective going now back 2 quarters was to offset this on a dollar basis for the full year. We're on track to do that, and we were there as we sort of cross the finish line in Q3. So all in all, I'd say tariffs are sort of a minimal amount of noise for us going forward using Q3 as a base on a dollar basis of tariffs.
Operator: Your next question comes from Michael Cherny from Leerink Partners.
Michael Cherny: Maybe if we can dig a little bit more into implants, and this has obviously been an improving trajectory, Paul, since you came in. As you think...
Paul Keel: Michael, we're having a little trouble hearing you. Are you able to turn up the volume?
Michael Cherny: Is this any better?
Paul Keel: Yes, at the end there, you were coming in.
Michael Cherny: I just want to -- I'll ask it quickly. Where do you feel best about your positioning on implants right now? And as you think about your R&D and sales expansion efforts, where are the biggest opportunities you have to potentially push harder?
Paul Keel: So I would say, in total, we feel good about our implants position. We've had now, in total, 4 straight quarters of positive growth. We think we were above market growth in North America in the last quarter. And we have good growth balance for the most part across Premium and Challenger, albeit our Premium business being significantly larger. In terms of new product activity, we've also had a couple of good launches recently. We have a new multiunit abutment that launched earlier this year, which is having good impact. And we have a new zirconia highly translucent bridge that came out of our Procera business. So we think we're making headway there on the new products front as well. Maybe balancing my comments. Like everyone, we're keeping a close eye on China. We had a good result in VBP 1, albeit there was a margin impact traded off by an increase in volume. We'll have to see how that plays out here with VBP 2. But on balance, we're clearly making headway on our implants business here.
Operator: Your next question comes from Jeff Johnson from Baird.
Jeffrey Johnson: Eric, I wanted to just focus on the organic growth adjustments in 3Q is my first question here. You're talking about 5% if we adjust for the Spark deferred. And that, I think, is pretty easy math to get to and makes sense. The $10 million pull forward that was mostly in Brackets & Wires last quarter that helped in 2Q, did that $10 million fully reverse mostly in Brackets & Wires this quarter? And would that 5% core growth that you're saying on an adjusted basis this quarter then be closer to maybe 6%, 6.5%, if I adjust for that? Just anything else that I should adjust for to get to kind of a cleaner core number for the quarter?
Eric Hammes: Yes. No, Jeff, I think you got the numbers. So the Spark deferral obviously is pretty easy to pick up off of the year-on-year revenue bridge. And then I would just confirm that we believe, to the best of our data, and our data is pretty solid, that we're not exiting. We did not exit Q3 with any kind of price buy ahead sort of still in the system, that's to say that it all reversed out in Q3. And for the most part, I think we talked about it on the last quarter call as well as follow-ups that about half of that was in our Specialty and Technologies segment, and quite a bit of that was in Brackets & Wires. I think we said it within our pre-read remarks, Brackets & Wires was flat. That's part of the reason for that. So you're correct. And then back to sort of your question on underlying growth, I would just say that our underlying growth in Q3 was in that 5% to 6% range, if you want to take the buy ahead reversal out. And I simply range it because I do think there's a little bit of variation around how much of that $10 million was in Q2 or Q3. It's our best estimate, but it's not precise.
Jeffrey Johnson: All right. Fair enough. And then, Paul, just on the VBP comments you had, one of your competitors is talking about starting to see in 3Q a little bit of inventory drawdown on the implant side, expecting a larger drawdown in Q4 and Q1 before then benefits start to flow in later in the year. I mean that's a pretty standard pattern of 2 or 3 quarters of inventory reductions, then you pause and you start to get the volume recovery and maybe even demand recovery a quarter or 2 after the VBP. Should we be modeling -- I think you're at about $100 million annualized in implant revenue in China. Should we take that same kind of pattern into account as we model even if we don't yet know full details on implant VBP there? Just any guidance you would give us over the next few quarters on that $100 million business line?
Paul Keel: Yes. I guess I'd say 3 things about the expected implant VBP 2.0. The first thing I'd say again is it's expected, but hasn't been communicated. The second thing I would say is your general expectation in regards to the de-stocking followed by the new price level and then a restocking impact, which magnifies the growth in the bounce back quarters is what we expect. So I think you're right on with that. The third reminder I would give is we expect VBP 2 to be smaller than VBP 1. So smaller in terms of the price decline and smaller in terms of the inventory impact. The market also is smarter this time around having gone through it first with implants and now currently with ortho. But I think you've described the general trends correctly, Jeff.
Operator: Your next question comes from Erin Wright from Morgan Stanley.
Linda Bolduc: This is Linda Bolduc on for Erin Wright. So given the latest quarterly results in SP&T, what are you seeing in terms of the balance around Brackets & Wires and clear aligners? Do you think clear aligners are back to taking share?
Paul Keel: Yes. We got this question on the Q2 call as well. We don't see a material shift between use of Brackets & Wires and clear aligners. We focus on the Orthodontic segment for our clear aligner business. And of course, we focus exclusively on the Orthodontic segment for Brackets & Wires. And our communications with doctors, they make a judgment on which therapy is best for a particular case based on the age of the patient, the expected compliance of the patient, the severity of the case, et cetera. And then we just provide them what we think are 2 very good solutions, either for fixed appliance treatment or clear aligners. But we don't see any structural shift between the 2.
Operator: Your next question comes from Jonathan Block from Stifel.
Jonathan Block: Maybe I'll just start on the consumables side. And hope I didn't miss anything, but Paul, I thought you said think about it as a stable market, but consumables were up double digits. So if you can talk to what drove the outperformance, clearly above market, I would think. And then any thoughts on, call it, sustainable share gains there going forward?
Paul Keel: Yes, it's a good question, John. Our consumables business has 4 pieces to it. It has the composites, the restorative business. It has an endo piece. It has an infection prevention piece and then let's call it all other. And we're seeing decent growth across all those components. We had particularly strong growth in the infection prevention piece. So that might be playing a role. We also had very good performance with DSOs in the first half and in particular, Q3. So maybe that's also playing a role. In general, having followed the category for so long, in times where consumer confidence is impacted, like it is right now in the U.S. in particular, the consumables business tends to do relatively better because it's typically covered by insurance and typically isn't impacted as much by any changes in consumer confidence. So I think that's going on. There's this ongoing refrain for decades in the industry that the branded consumables players would be displaced by private label. We just don't see that in our results.
Jonathan Block: Very helpful. And I'll sort of shift gears for the second one. This is a little bit of a tedious one. But Eric, if you can just help us the Spark deferral, like what's left in 4Q, if anything? I thought you might have said $30 million, 2H and then $27 million. So is it that stub? But also, if you can remind us maybe like full year '25, full year '26, where that may land? And then anything that we should take into account from a margin perspective because obviously, this is a pretty high drop-through when we start to shape and inform our EBITDA margins for '26.
Eric Hammes: Yes. Excellent, John, thanks for the question. So let me just walk from our original guide, which obviously gives you the numbers going all the way back to '24 to '25 and then just bring it forward to 2026. So bear with me. So we entered the year during our guidance, we talked about the fact that for 2025, we expected 2/3 of the 2024 headwind to turn into a tailwind. And that tailwind in 2024 was about $45 million. So call it, $30 million for this year. First half was a very small net number. It was a little bit of a tailwind because Q1 was a little heavy. You guys saw the big number, obviously, in Q3. We've been estimating and projecting and forecasting that, telegraphing it for the full year. And so that leaves, call it, a small impact, low to mid-single digits in Q4 that will be a remaining tailwind year-over-year to get us to around $30 million for the full year. You can then do the math on the balance that we would expect to get for 2026. So there is a little tailwind still left. It's certainly not as material as what we saw in Q3, and it's certainly not as material as the full year 2025. And then the other thing I just want to communicate because I know several of our sell-side analysts are kind of tussling with this. I think the best way to think about Envista going forward and the Spark business going forward is that the absolute revenues and the absolute profit that we just reached in Q3, and I know you're sort of modeling it, that is the right basis for taking the business going forward. Said another way, the tailwind that we got this quarter is not a headwind as we get into 2026. We don't have a comparable problem, right? And I mentioned that because I know there's a few analysts that are out there sort of dealing with that. And then in terms of profitability, I'll just go back to what Paul mentioned right at the top, whether it's continued growth in the business, continued case start improvements, a trend, a good trend that we have going on in terms of unit cost down and then portfolio and even some of the design cost changes, we do expect to make further improvements on the profitability of the business. But this is also a business that is becoming more and more integrated, if you will, around the Ormco platform and with Brackets & Wires. And so we probably won't talk as much about sort of the pure profitability as we roll forward. But I think an important point in all of that is the dollars of revenue and the dollars of profit in Q3 are a good basis going forward given the fact that the vast majority of our deferral tailwind is now behind us.
Operator: Your next question comes from Steve Valiquette from Mizuho Securities.
Steven Valiquette: I guess somewhat building off your comments from just a second ago. We've seen just around clear aligners, 1 or 2 of your competitors this quarter actually talking about getting better ROI on Clear Aligner marketing spend, both towards practitioners and consumers to drive better clear aligner volume trends. So I guess, in your journey on getting to this positive operating profit, just remind us whether or not you think your current level of marketing spend related to Spark franchise is adequate in that context? And is there any color just on where does annual marketing spend directionally go from here for Spark either on an absolute dollar basis or a percent of revenue basis, if you think about it in that context?
Paul Keel: Yes. I think short answer is we do feel like the business is appropriately supported at present. There are a few markets left to enter, geographic markets. So that would be a marginal increase in spend as we enter those. But for the most part, it's a $300 million business right now. It's at scale.
Operator: Your next question comes from Michael Sarcone from Jefferies.
Michael Sarcone: I guess maybe just on diagnostics, can you elaborate on what you're seeing in the recent trends and maybe give us some color on your outlook for growth going forward?
Paul Keel: Yes. Good question. I mean it's good to get a diagnostics and a consumables question in the quarter. So grateful for that. So diagnostics, maybe to set the table, it's been a couple of year contraction for the category. And most of the players have reported something similar. For us, it's been several quarters of contraction until Q2 of this year, where it turned positive. And then we were pleased to see a second successive quarter of positive growth for our diagnostics business here in Q3. And that was helped by an important launch we had in our IOS business, which sits in our diagnostics platform. That's our Imprevo IOS. When people think about what has caused the preceding contraction of the category, they report to -- or they point to a couple of macro factors. One is directly related to interest rates, and interest rates impact the business in 2 ways. First, interest rates impact how fast either individual clinicians or DSOs open new sites. When you open new sites, you have to add diagnostic equipment. We have the largest installed base globally and are the market leader in North America. So when site additions slow, that impacts us. The second way that interest rates play out, of course, is for an individual clinician, they finance the purchase. So higher interest rates make them less likely to update their equipment. As interest rates start to come down, that's helpful. And we're starting to see DSOs and individual clinicians on the margin start to open new sites again. So both of those are supportive for the diagnostic category. Far too early to call a change here. We're, like you, excited to hear how other participants in the market performed in Q3. But for us, at least, we have 2 positive data points now and the underlying what we can control investment and performance of the business is pretty good.
Operator: Your next question comes from Brandon Vazquez from William Blair & Company.
Russell Yuen: This is Russell on for Brandon. Just one for me. You guys touched on it a little earlier, but an interesting topic right now is DSOs. Could you maybe comment more on any particular strength in the DSO market today given the current environment and maybe your competitive positioning and key drivers of opportunity in the market?
Paul Keel: Sure. As is the case for most of the bigger suppliers, DSOs are a very important segment for us. When I joined Envista, maybe 1.5 years ago, I moved our North American key account team to report directly to me, reflecting the importance of that customer segment. And I think the increased focus is starting to yield benefits. In North America, we had double-digit growth for our imaging business across our top 20 or so partnerships. Our CBCT platform, for example, is now installed in all 1,000-plus locations of one of the largest U.S. DSOs. We had high single-digit growth for both Nobel and Ormco in Q3, again, in North America. We had double-digit growth in our consumables business. In Europe, we're also seeing good performance for DSOs. Ormco was up double digits, and we had high single digits in Brackets & Wires, strong double-digit growth in Spark. And then even in China, DSOs are a bright spot for us. Our Nobel business had high single-digit growth in Q3. Ormco had positive growth despite the destocking in preparation for VBP that was mentioned in an earlier question. So we're focused on DSOs, and that focus is paying off.
Operator: Your next question comes from David Saxon from Needham.
David Saxon: Paul and Eric, congrats on the quarter. So maybe I'll start with Eric. So in a couple of earlier questions, you talked about guidance is kind of rounding up to 14% for the EBITDA margin. I think the Capital Markets Day targets kind of implied around 50 basis points of improvement per year. You also talked about offsetting tariffs, I believe, earlier in the call. So if we kind of take those comments, it seems like you're tracking to where consensus is in the low 14% range for next year. But then you just talked about how third quarter's margin performance is a good basis for going forward, which would, I think, puts you closer to 15%. So can you just help kind of parse through all that? Like where do you think margins could go high level at this point for next year?
Eric Hammes: Yes. Yes, absolutely, David. I appreciate it. So I mean, I would just start with second half 2025, inclusive of the kind of the calculated margins for Q4 based on our approximate 14%, that's a good way to think about our margins as we go forward. And then much too early for 2026, but we still very much see next year being a proxy, if you will, of the algorithm or the financial framework that we laid out in Capital Markets Day, right, which was having a core growth rate kind of midpoint of our range around 3% and then leverage, right? So think adjusted EBITDA growth, adjusted EPS growth. And what basically that formulary said is that we have the ability to get leverage as we work from growth down through the bottom lines of the P&L. Some of that is going to come from a few of the trends that we're seeing, and I would just say, improvements that are happening in 2025. So continued good core growth with good gross margins; continued improvements in Spark based on, again, some of the earlier comments. We put a lot of focus this year into G&A. We'll make progress next year, probably not at the same rate, but we have levers to use to really operate within that Capital Markets Day framework where we do expect to get leverage on top of the growth. So all in all, I think aligned with what we said not just 9 months ago.
Operator: Your next question comes from Kevin Caliendo from UBS.
Dylan Finley: This is Dylan Finley on for Kevin. Congrats on the results, guys. If I could just circle back to Spark. If we could break down the high teens core growth that you guys saw, how would you compartmentalize that between same-store sales versus new geographies or new offices that you've kind of gotten into? And one of your competitors recently called out some pressure in U.S. of the retail doc segment, the non-DSO part of the market. Curious about your experience there. Any divergence in behavior or order patterns between types of docs here in the U.S.
Paul Keel: Yes. So let's see, 2 parts to your question, trying to break down the Spark growth, does it differ by geography? And then does it differ between individual clinicians or what some people call retail and DSOs. I can talk about our business specifically. We had high single-digit growth in North America. We had double-digit growth in all other major geographies, except for China. So we have good growth pretty much across all geographies. With respect to DSOs versus individual clinicians for our Spark business, we tend to do, on a relative basis, even better with individual clinicians. And that's because, again, remember, we focus on orthodontists, and DSOs typically over-index to GPs. So when we call on a pure-play orthodontist, we are, we think, competitively advantaged. We don't go as aggressively to DSOs with Spark, again, because we focus on specialists, and they tend to be mostly GPs. So maybe that gives some useful color.
Dylan Finley: That's very helpful. And then just one clarification question. One of my colleagues asked about China VBP, China implants maybe being around $100 million annually in sales. That's kind of what where we got around to. Does your current year guidance contemplate any fourth quarter destocking phenomena similar to what you saw in VBP 1.0? Or do you think at this stage, it's not necessarily likely that that's even going to happen?
Eric Hammes: Yes. Good question. So short answer is yes. Our guidance does contemplate what we believe will happen with VBP. And for us, it's a little bit of a 2-part scenario. So because we have an orthodontic bracket and wire business, there's still some remaining question on how things play out in Q4, but that will likely be a good grower for us in fourth quarter because 1 year ago, we were seeing the preparation for VBP happening, which is to say that our business was a slightly lower base. And we also believe there will be some impact, as you're alluding to, in implants where whether it's channel or whether it's broader market, we'll see a little bit of contraction. And our estimates, as you mentioned, do contemplate that. So we think it's likely, and it's within our guidance we gave.
Operator: Your next question comes from Jason Bednar from Piper Sandler.
Jason Bednar: Sorry if I missed it, busy afternoon. I've been bouncing around some calls. And apologies if this has been asked, you can tell me just to go check the transcript. It was good to see the growth durability in implants, I think low single digits. Can you break out the growth between Challenger and Premium during the quarter within that total LSD growth? And then can you speak to the confidence of taking a step forward with implant growth from where you're at, knowing that comps turn a bit tougher and the broader market still is fairly stable here?
Eric Hammes: Yes. Yes, sounds good, Jason. So within the quarter, you mentioned low single digits for implants. I would just say we had a strong premium result within there, and then Challenger was closer to flat within the quarter. We have a little bit of variability in our Challenger results just based on it being, number one, a small business and then some of the geos that we participate in. We expect our Challenger business to grow on a full year basis. And we think that our print, if you will, or level of performance for premium in the quarter is a good baseline for us, at least in the near term. It's been a solid performing business for us this year. Total implants grew for the fourth straight consecutive quarter. And I would say, in total, that's a good way to think about the business, at least in the near-term forward view.
Operator: Thank you. There are no further questions at this time. I will now turn the call over to Paul Keel for closing remarks. Please go ahead.
Paul Keel: All right. Thanks, everyone, for tuning in. I'll just quickly underline a couple of thoughts to put a wrap around the quarter. First, as you saw from the results, Q3 was another step forward for Envista. We had good core revenue growth converting into double-digit adjusted EBITDA and EPS growth. Similarly encouraging, our performance was generally broad-based with all major businesses again delivering positive growth. And underlying all that, we continue to focus on executing the plan that we shared at our Capital Markets Day in March, showing ongoing progress in our growth, operations and people priorities. So I think that well covers it for the day. Thank you again for tuning in and wish everyone a good afternoon and remainder of the week. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.